Operator: Good afternoon. Welcome to the SunPower Corporations Second Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now like to turn the call over to Mr. Bob Okunski, Vice President of Investor Relations at SunPower Corporation. Thank you, sir. You may begin.
Robert Okunski: Thank you, Brenda. I would like to welcome everyone to our second quarter 2019 earnings conference call. On the call today, we will start off with an operational and strategic review from Tom Werner, our CEO; followed by Manu Sial, our CFO, who will review our second quarter 2019 financial results before turning the call back to Tom for guidance. As a reminder, a replay of this call will be available later today on the Investor Relations page of our website. On today's call, we will make forward-looking statements that are subject to various risks and uncertainties that are described in the Safe Harbor slide of today's presentation, today's press release, our 2018 10-K and our Quarterly Reports on Form 10-Q. Please see those documents for additional information regarding those factors that may affect these forward-looking statements. To enhance this call, we have also posted a set of PowerPoint slides, which we will reference during the call on the Events & Presentations page of our Investor Relations website. In the same location we have also posted a supplemental data sheet detailing some of our other historical metrics. Please note, that we have update our metric sheet to be more inline with our new corporate structure, as well as to provide additional transparency for each business unit. With that, I'd like to turn the call over to Tom Werner, CEO of SunPower. Tom?
Thomas Werner: Thanks, Bob, and thank you for joining us. On this call, we will provide an overview of our second quarter 2019 performance and provide an update on our strategic initiatives that we feel will drive improved profitability and shareholder value in the second half of the year. I'd now like to review our Q2 performance. Please turn to Slide 3. The results of our strategic transformation are bearing fruit as we met or exceeded our key financial targets for the quarter, including our adjusted EBITDA forecast. Volume, revenue and margin all came in ahead of plan, driven by strong demand across our global DG business, with particular traction in the U.S., Europe and Japan. Our SPT business delivered record quarterly shipments as we continued to expand our international footprint. Given our strong first half performance and our significant visibility into the second half, we are raising our adjusted EBITDA guidance for the year. Now let me discuss our segment performance in greater detail. First, an overview of SunPower Energy services, our North American DG business. Please turn to Slide 4. SPES executed well in the quarter as both our residential and commercial businesses showed strong year-on-year megawatt growth and sequential financial improvement, benefiting from solid demand in a stable pricing environment. In residential, demand for our recently launched A-Series panels remains very strong, and we are ramping production to meet this need. We continue to build on our industry leadership position in new homes, where our backlog is now over 38,000 homes. The mix of cash, loan and lease remains balanced, in line with forecast, with particularly strong demand for our loan products. In relation to lease, we were pleased to close our new innovative financing vehicle to not only fund our needs into 2020, but also drive significantly better economics. Finally, we continue to make progress on our Equinox storage product, and remain on plan to launch this offering in the second half of this year. In C&I, we maintained our #1 position as volume rose 50% sequentially. We see strong second half momentum in both our direct and CVAR businesses as the balance of the year is more than 75% booked and our pipeline exceeds $3 billion. We expect the business to become profitable in the third quarter on an adjusted EBTIDA basis. Our Helix storage solution is selling well, and our pipeline now exceeds 135 megawatts, with average attach rates of approximately 35% over the last 12 months. We also recently commissioned our largest multi-site solar-plus-storage project to date, with Whole Foods. As we have discussed in the past, development of our SPES services business is a key focus. Slide 5 shows our progress in this area. We believe that services will become a significant driver of long-term profit growth for SPES, for several reasons. First, services allows us to move beyond the solar power market and enable our customers to increasingly participate in the broader energy marketplaces. Second, by bundling services offerings, together with our differentiated solar systems, we can increase customer stickiness with expanded margins. Third, we can mine our existing North American DG customer base, the largest in the industry, to sell services that enhance the performance and value of our existing systems. Finally, we have designed our services platform to work not only with our own systems, but also to allow us to address the broader opportunity comprising solar systems from other suppliers. On the right-hand side of the page, you can see how we organized the services space into three main categories - solar services, storage-enabled services and energy market services. I'll spend a few minutes explaining how we are addressing each category. In solar services, we are focused on providing asset management, O&M and monitoring services to existing customers as well as using digital tools to drive a more efficient and satisfying customer acquisition experience. For storage, we're focused on enabling our commercial customers to more efficiently manage their electricity consumption, maximizing system performance and providing material cost savings. We are leveraging our C&I storage experience with our Equinox storage solution for residential. Finally, energy market services that allow our customers to participate in a variety of existing and emerging revenue opportunities. As we mentioned at our capital markets day, we are already active in several energy market programs. For example, last year in the New England ISO, we deployed projects into the capacity market during the second half of 2018, and are currently receiving payments. In California, we are actively rolling out about 40 megawatts of solar and storage into a local capacity requirement program that will allow Southern California Edison to defer transmission and distribution upgrades. Now let's take a closer look at one of our digital initiatives. Please turn to Slide 6. With over 14 years of partnership with our residential dealers, we have developed many tools that enable their business. As many of you know, customer acquisition represents a significant cost for residential retrofit applications. Our digital team developed novel software to quickly and automatically design solar systems on customer roofs. SunPower Design Studio creates optimized systems quickly and efficiently using machine learning, leveraging algorithms trained on our existing design library and continuously improving accuracy. A key advantage of this application is that it reduces design turnaround times from over 30 minutes to 30 seconds, by allowing homeowners to create their own solar designs online. Our proprietary machine learning technology instantly characterizes the home's roof, optimizes systems configuration and calculates performance. Homeowners can then modify designs live, adding or subtracting panels while evaluating the impact on energy and build savings. We are currently using this platform in 2 pilot markets and expect to roll it out nationally this quarter. We expect to see rapid proliferation of this application throughout our residential business, similar to what we have seen with the growth of our sales appointment generation service over the past 2 years. As you can see on the right-hand side of the page, we are on pace to more than double the use of this service in 2019, with more than 25% of dealer sales generated through appointments scheduled by SunPower. These digital applications increase our customer satisfaction and stickiness and support enhanced margins. Now let's review our SunPower Technologies business. Please turn to Slide 7. Our manufacturing team executed well again in Q2, exceeding our shipment guidance and meeting cost and yield targets for the quarter with full fab utilization. Our next-generation Maxeon 5 technology is hitting performance goals and our cost reduction roadmaps are on plan. Production of our P-Series technology is also going well, with our DGS joint venture at 2 gigawatts of capacity and our factory in Oregon now in volume production. Our SPT international sales channels posted strong performance with a record volume quarter in DG, with ASPs and margins coming in above plan, driven by particularly strong traction in Europe and Japan. We continue to drive our mix toward the higher margin DG segment with approximately 65% of our shipments into DG in Q2. Demand for our newly introduced 400 watt product remains very high, and we are on allocation in our DG channels for the balance of 2019. We further expanded our footprint in the power plant space in Q2, and remain fully booked in power plant for the second half of the year. I'd now like to provide a brief update on our Maxeon 5 progress. Please turn to Slide 8. Maxeon 5 offers the highest cell and panel performance in the industry. We recently began volume shipments into the U.S. residential market and are seeing very strong demand. We expect to ship up to 100 megawatts of Maxeon 5 this year. This technology allows us to manufacture a premium product at a significantly lower cost, enabling us to materially expand gross margins. Our Max 5 ramp plan is on track. We're in full production on our first line, with total install almost complete for our second line. When both lines are complete, our nameplate capacity will reach 250 megawatts. Our partnership discussions around Max 5 are progressing, and we remain confident that we will reach a final agreement in the coming months. We have created 3 strong franchises with SunPower, and I would like to spend a few minutes now highlighting the relevant value drivers. Please turn to Slide 9. Starting on the left with SPT, we're focused on driving top line growth and margin expansion through the ramp of NGT and leveraging our highly CapEx efficient P-Series technology platform. Given our differentiated products and very strong channel position in the rapidly growing DG market, we are confident in SPT's ability to drive material margin improvement as we scale volume. For North American Residential, we see our recently closed residential lease fund driving margin improvement as we further grow our leasing business. We're deepening our decades-old dealer partnerships with enhanced digital tools, ramping our A-Series panels and introducing Equinox storage in the second half of the year. Our leading share in the new homes market gives us a strong position to capitalize on. For North American Commercial, our focus is on driving continued share growth enabled by our hybrid direct and independent dealer model. We expect to expand our leadership position in storage and services not only with new customers, but also by leveraging our 1.3 gigawatt installed based for additional revenue opportunity. Overall, we are well positioned to achieve our target model in each business unit. Before turning the call over to Manu for the financials, I would like to provide some comments on our confidence in achieving our 2019 financial forecasts for the balance of the year. Please turn to Slide 10. As you can see on the right, we executed well in the first half of the year versus our plan. Given this ouperformance, our significant second half revenue in margin visibility and further expense management initiatives, we are raising our 2019 adjusted EBITDA forecast. Key drivers for the remainder of 2019 include the continued ramp of our A-Series NGT product for the U.S. residential market and associated margin [uplift], improve economics associated with our new residential lease fund, implementation of our innovative new project fund with Goldman Sachs Renewable Partners that gives us the ability to sell our commercial projects and notice to proceed, improving cash flow and working capital, the continued strong demand in the international DG markets for both our Maxeon and P-Series product lines and, finally, high visibility in our SPT power plant business, which is fully booked for the remainder of the year. We are, therefore, raising our 2019 adjusted EBITDA forecast to be between $100 million and $120 million. In conclusion, in Q2, we delivered performance that we believe is clear evidence of the success of our strategic transformation. SunPower is well positioned to meet our second half 2019 targets and to grow profitably into the future. With that, I would like to turn the call over to Manu to review the financials. Manu?
Manavendra Sial: Thanks, Tom. Now let me review the financials. Please turn to Slide 11. We were pleased with our results as we met our key financial commitments, including our adjusted EBITDA forecast. Overall our non-GAAP revenue was above our commitment as we benefited from strong international DG demand as well as our strong overall execution. In SPES, revenue was up sequentially as both our residential and commercial businesses saw improved demand throughout the quarter. For SPT, we shipped 637 megawatts above our forecast, driven primarily by international DG business. Our consolidated non-GAAP gross margin was 11%, ahead of our forecast. In SPES, gross margin was up sequentially, driven by and improved mix in our commercial business, while residential margin was impacted by 1x noncash charges. For the quarter, pricing in both residential and commercial remain stable. We expect both resi and commercial margins to improve in the second half of the year, given our strong backlog and improving cost structure. In SPT, gross margin was better than forecast on increased volumes and strong demand in our higher margin DG business. I also want to highlight that SPT Q2 margin and EBITDA results include the impact of continued ramp costs of our Oregon manufacturing operation. The expected costs we'll be applying the second half of the year. Non-GAAP OpEx was $61 million for the quarter, down 10% sequentially as we benefited from our cost reduction initiatives and productivity gains from our digital investments. We're increasingly confident that 2019 OpEx will be less than $270 million. CapEx for the quarter was $12 million, consistent with our NGT ramp at Fab 3, and the continued install of our second line in Malaysia. Adjusted EBITDA was $8 million. We see 2019 adjusted EBITDA improving on a quarterly basis as we benefit from our (inaudible) initiative, strong backlog, increased volumes of NGT and ramp of our storage and service offerings. I'd now like to discuss a few financial highlights for the quarter. Please turn to Slide 12. As previously mentioned, we met or exceeded our key financial commitments for the quarter. We've continued to prudently manage our balance sheet with Q2 cash in line with our forecast. More on this later. In SPES, we've closed 2 financing agreements in the quarter that we believe will significantly improve our working capital management, including our C&I notice to proceed financing program and a new resale lease bond for better lease economics. We also positioned ourselves for margin expansion in the second half. We expect this expansion to come from the further execution on our cost and technology roadmaps, including higher NGT and storage volumes, benefits from our recently closed project finance initiative and strong visibility in our global DG business. We remain confident in achieving our second half goals as we have significant visibility in both our business segments. Finally, we believe our 3 unit franchises, each with distinct value components and supported by industry tailwinds. As a result, we have updated our quarterly metrics sheet to reflect the key value drivers for each of the franchises that provide greater transparency to investors. I'd now like to spend a few minutes discussing these key value drivers as well as the favorable trends that will support our growth. Please note that we have provided historical information on these key drivers in our posted metrics sheet on our IR website. Please turn to Slide 13. I'll focus my discussion on those elements that we feel best exemplify the value of our businesses and explain our view that investors need to look at SunPower on a sum of the parts basis. First SPES. We see 2 components of value in both residential and commercial; our development engine and our opportunity for service and upsell. For resi development, we continue to see revenue per watt and megawatt growth enabled by a strong dealer network as core drivers of our business. Storage will also become more important as we roll out our Equinox product in the second half of this year. We also see significant value in our ability to monetize our ongoing relationship with the customer for services and upsell. For example, drivers here are new customer growth as well as our ability to leverage our greater than 285,000 customer installed base for additional storage and services margin. In C&I, we continue to see strong demand with project sizes increasing and a healthy second half '19 megawatt backlog. With storage becoming a more important aspect of any commercial deal, our [attach rates] remain high. As we have mentioned before, our more than 1.4 gigawatt installed base and more than $3 billion pipeline provides us significant ability to expand our footprint with new products and services. SPT is a manufacturing technology business, so megawatt shipments, ASPs, bookings and visibility are the key metrics. In DG, we are driving margin expansion in combination with volume growth as our DG business has significantly higher margin than in power plant. Finally, I'd like to point out that we are currently valuing our 20% ownership in our China manufacturing JV at $35 million. Before turning the call back to Tom for our guidance, I would like to provide some transparency and cash forecast for the balance of the year. Please turn to Slide 14. On the left-hand side chart, we detail our major cash flow moves for the first half of 2019 as well as where we see those items for the year as a whole, and provide a bridge for our goal of ending the year with more than $200 million in cash. We are forecasting that our BUs will generate around $150 million of cash in 2019, given our strong visibility of second half EBITDA as articulated by Tom earlier, and working capital initiatives. We define business unit cash generation to include cash impact from our project financing activities and monetization of our remaining development assets. In 2019, we also expect to materially pay down our legacy liabilities, including our out-of-market [poly] contract that runs through 2021. Finally, we expect to benefit from investing in high ROI initiatives such as NGT, digital and solar-plus-storage. In conclusion, we remain on track for our 2019 plan and feel very confident in our ability to meet our long-term model structure. With that, I will turn the call back to Tom for our guidance. Tom?
Thomas Werner: Thanks, Manu. For 2019, we expect financial performance to improve on a quarterly basis throughout the balance of the year. I would now like to discuss our guidance for the third quarter and fiscal year 2019. Please turn to Slide 15. The company's third quarter 2019 guidance is as follows. On a GAAP basis, revenue of $430 million to $470 million, gross margin of 8% to 12% and net loss of $55 million to $35 million. On a non-GAAP basis, the company expects revenue of $450 million to $490 million, gross margin of 14% to 17%, adjusted EBITDA of $30 million to $50 million and megawatts deployed in the range of 550 to 600 megawatts. On Slide 16, the company's fiscal year 2019 GAAP and non-GAAP guidance is as follows. Revenue of $1.8 billion to $2 billion on a GAAP basis, and $1.9 billion to $2.1 billion on a non-GAAP basis. Gigawatts deployed is expected to be in a range of 2.05 gigawatts to 2.25, excluding approximately 200 megawatts for the company's safe harbor program, non-GAAP operational expenses of less than $270 million and capital expenditures of approximately $65 million. Finally, the company is raising its fiscal year 2019 adjusted EBITDA to be in the range of $100 million to $120 million. In summary, Q2 was a solid quarter for the company as we executed on our strategic initiatives and positioned the company for a strong and profitable second half performance. With that, I would like to turn the call over for questions.
Operator: [Operator Instructions] Our first question comes from the line of Brian Lee of Goldman Sachs. Your line is open.
Brian Lee: Hey, guys. Thanks for taking the questions. I had two, maybe first on the gross margins. Pretty encouraging to see you beat guidance for the second straight quarter here. So kudos to you. But I was a bit surprised to see the components. Resi seemed weaker, commercial better and then SPT was higher. So can you walk through some of that, the moving pieces across the 3 buckets, and then how we should think about each component into 3Q? And then generally speaking, it seems like you're tracking ahead of plan in commercial and SPT, but there's more upside potential in resi. Any thoughts around the longer term targets you set out at the Analysts Day, if those are still relevant or if maybe you're starting to see potential upside in some of those buckets?
Thomas Werner: Thanks for your question, Brian. And this is Tom. I'll start, and then Manu can take if from there. You're right, gross margins were good in Q2, trending the way we want. And I appreciate the question about the models that we showed at Analyst Day, because I think that's highly relevant. Commercial is pretty close to model. Volumes in the second half of the year will be substantially higher. So it's really good news for the commercial business, because as margins have now come in closer to model, we capitalize on that with volume. SPT is benefiting from focusing on the DG business and, of course, the A-Series product. And so we expect both of those things to continue to bear fruit going forward. So the SPT trend, I think is something we're confident in going forward. I'll let Manu explain resi. Residential does have some accounting in it that he can explain. What I would say about residential is we're quite confident about the trend towards model and we need to just explain Q2. But in terms of the overall trend, we're still quite confident that we get to model. I'll end just with my last comments about getting to model. And I believe you can still find those Analyst Day slides on our website if you want to look at the model for others. Is, yes, I wouldn't say we're prepared to raise model on any of the businesses. But I would say that the guidance that we gave, our confidence is higher and maybe we get there a little sooner in some of the businesses than we were suggesting when we had Analyst Day. In terms of residential, Manu?
Manavendra Sial: Thanks, Tom. So like Tom said, our residential margins are improving throughout the year. Here's the way to think about second quarter. Second quarter had a 1x noncash charge that was effectively a forgiveness of some charge-backs to dealers from prior years. And non-realizing for that, that would have put us at a higher gross margin compared to prior quarter. So the trends are positive with a little bit reclass [ph] as well between OpEx and gross margin that would have enhanced the gross margin for second quarter. So as Tom said, the trends in residential are positive quarter-on-quarter and expect to continue through the year.
Brian Lee: Okay. Fair enough. That's helpful. And then the second question, then I'll pass it on, on revenues, you've been pretty consistent here in kind of the $400 million to $500 million range throughout the year, also what you're inferring here for 3Q as well. So the first real step-up seems to be in Q4, based on the full year outlook you're providing in the 3Q guidance. But correct me if I'm wrong. If I look at a megawatt guidance, it seems like Q4 will actually be about 500 megawatts, which is actually not higher; if anything, it seems a little bit lower than the recent run rate. So can you kind of parse that out for us, the better Q4 revenue run rate on what seems to not be necessarily higher volumes? Is this all mix-related? And if that's the case, can you give us some sense as we head into 2020, around the two drivers of top line growth, potential top line growth, I guess organically on mix and then inorganically on incremental capacity and volume additions? Thanks, guys.
Manavendra Sial: Great. There were lots of questions rolled into one, so I'll address piece-by-piece. From a revenue perspective, SPES is a higher mix. Both residential and commercial over at [ph] SunPower revenue in the back half of the year or megawatts in the back half of the year. That drives the higher revenue. Both businesses are doing extremely well with higher bookings, and residential and commercial bookings also very good, stronger backlog coming in the back half of the year, which gives us increasing confidence in the back half revenue number. Those revenue numbers in SPES we'll expect to grow in line with the model that we laid out at the Analyst Day for both residential and commercial businesses. So that was from a revenue perspective. From a megawatt perspective, one of the things you have to factor in is that the back half of the year, megawatts includes about 200 megawatts for safe harbor. That is not part of our megawatt guidance, our megawatt deployed guidance. So you have to add 200 megawatts to that, 1/4 of that in third quarter and 3/4 of that in fourth quarter.
Thomas Werner: And then, Brian, in terms of 2020 and beyond, how do you think of revenue growth? So there's the baseline megawatts deployed and we guided our growth on our Analysts Day. And we do have the catalyst of the safe harbor, plus we will have an ITC catalyst again next year in America. And rest of world markets are really strong, places like Europe, of course, Korea, Latin America, other parts of Southeast Asia that are doing quite well. We think that goes into next year as well. I think it's super important to know as well that we expect revenue per watt to increase meaningfully over the next few years as we increasingly attach storage and services to a lesser extent. And that's the case for residential and commercial. In SPT, a big driver will be more A-Series focus on DG. And of course we're not done. A-Series, as we ramp A-Series, our SPT team is working on a successor product as well; assume in the out years that'll help revenue as well. So that's how I would think of longer term revenue growth.
Brian Lee: Okay. Thanks, guys. Appreciate the color.
Thomas Werner: Thanks, Brian.
Manavendra Sial: Thanks, Brian.
Operator: Thank you. And our next question comes from the line of Michael Weinstein of Credit Suisse. Your line is open.
Maheep Mandloi: Hi. This is Maheep Mandloi on behalf of Michael Weinstein. Could you just touch up on NGT manufacturing roadmap and where we are on adding the third line and beyond the first two lines? And then I will follow.
Thomas Werner: Sure. So we think of NGT really comes in line pairs. So we've implemented a line pair, so you could call it two lines. But it's a line pair. The equipment for that second half or that second line is being installed and will be operational soon. And so we expect to be pretty close to the nameplate run rate of 250 megawatts in Q4. In terms of the next line, depending on how you count, we would expect to make the commitment for that line during the fourth quarter, probably towards the end of the fourth quarter. That commitment right now would be planned to happen after we signed a funding agreement. And so that's the plan that we have in front of us now. And of course, then we ramp subsequently and more aggressively next year post-funding, converting more lines to Maxeon 5.
Maheep Mandloi: Got it. And then, typically like could you just touch on the bifacial exemption which was recently granted by the government? And how do you see that technology specifically for your JV in China and for NGT as well? Thanks.
Thomas Werner: Yes. So bifacial is not new to us. We shipped bifacial product in 2009 to the Desoto project with NextEra Energy. So we know bifacial extremely well. The P-Series product actually has a better bifacial ratio or coefficient than does our IBC product. So the P-Series product in China is particularly well-suited for bifacial. We don't actually ship out of that joint venture into America. So the motivation from the 201 exclusion is not there for us, because, of course, we have an IBC technology exclusion. So if we do bifacial, it would be P-Series most likely, but it would be for rest of world markets. There are things evolving with 201 and tariffs in the AD CVD that may change that, but that would be the current position. And it's important to note bifacial really only makes sense in power plant. In the DG applications, you don't have adequate space between the module and the reflective surface for the math to work. It doesn't mean we won't see bifacial modules in DG; it just doesn't make sense economically.
Maheep Mandloi: That's helpful. And just one last question, and then I'll get back in the queue. Just could you just talk about the improving residential lease economics? And I know Manu there briefly touched upon it. But if you have anything more on that to share, will you? Thanks.
Thomas Werner: Yes. So we've done -- I'm going to let Norm Taffe answer that question here in a second. I'm just going to say a few words. Norm runs the residential business; I think many of you know that. We've done 3 prior funds with BAML. Well, of course, you improve each fund as you work with them. And we've raised a lot of lease funds. And so Norm and his team and Manu's team work closely with BAML to improve the actual implementation of the [forced lease] fund. Do you want to say a few words now?
Norman Taffe: Yes. Thanks, Tom. Yes. The only thing I'd add there was we are very good partners with BAML, allowed us to really achieve our key objective, both in terms of lowering our cost of capital and allowing us to actually take more money back to ourselves on those leases. Also, it supported our SunStrong partnership very well in that this lease fund actually allows us to deconsolidate real-time leases. So we get the cash upfront and then we participate with our partner, SunStrong, in the longer term economics of the lease at the same time. That's quite innovative and unique and very supportive with our whole trends for be more transparent about our economics and focus on getting cash up front.
Operator: Thank you. And our next question comes from the line of Julien Dumoulin-Smith of Bank of America. Your line is open.
Julien Dumoulin-Smith: Good afternoon. Congratulations. Maybe just a quick housekeeping item before I move on. [Technical Difficulty] embedded in your guidance here in the back half of the year and where that's to be accounted for? And then I got a follow-up real quickly.
Thomas Werner: Julien, we lost your connection there briefly. You said something about something being embedded in the back half guidance. Can you . . .
Julien Dumoulin-Smith: Sorry. Apologies about that. The Enphase shares, just where is that reflected in your guidance? And what are you assuming there for the balance of '19 here?
Manavendra Sial: So from a Enphase perspective, we are assuming that we'll own about 85% of the Enphase stock.
Thomas Werner: So we've got nothing in our P&L nor our cash forecast from this day forward on Enphase for 2019. We'll be an 85% owner at the end of the year.
Julien Dumoulin-Smith: Got it. Okay. Excellent. And then if I can just turn back to the sustainability of the cash improvement that you're talking about. I suppose, can you give at least a little bit of a flavor as to some of the items in the back half of the year and how you think about that moving forward? I mean, there's a lot of more specific questions, I suppose you could ask. But perhaps at a high level and at risk of being overly specific, that's probably the best way to frame the question at large here.
Thomas Werner: So Julien, you want a summary of how do we think of cash in the back half of the year and what the drivers are for cash?
Julien Dumoulin-Smith: Yes. But with an eye towards how do you think about the sustainability of the business unit cash as well as corporate and CapEx going into '20, right? So the viewpoint being, what changes?
Manavendra Sial: So as you think about the back half of the cash, elements of cash, so 3 big pieces. The business units are generating cash in the back half of the year on the backs of strong EBITDA performance and a better working capital model. That should continue in 2020 and beyond. The legacy liabilities is the second piece. That should start reducing as you think about going from 2019 to 2020 and beyond. And then the CapEx will be primarily invested in high ROI investments, most of it going to NGT.
Thomas Werner: I think, too, Julien, I would just jump on, the upstream part of our business had a pretty significant transformation. That was a significant part of our cash burn in previous years and it's gotten quite a bit better that their business is benefiting from A-Series from the new DG product, from strong markets performing well, by the way, gaining share in those strong markets. So there's been quite a turnaround in SPT that we would expect to continue as we invest in our NGT product.
Julien Dumoulin-Smith: The preferred bidder structure, just what's the expectation there on how that would contribute here, as best you at least initially understand it today?
Thomas Werner: When you say preferred there, are you referring to NGT funding?
Julien Dumoulin-Smith: Yes. Sorry. And what would that structure look like under the preferred bidder, if not specific to who it is, et cetera.
Thomas Werner: Yes. Yes. Well, of course, until we're final, definitives, I can't convey exactly what that would look like. What I would say to you broadly is it's significant funding. We're [broadening] an agreement as to what that would look like. It is structured in a way that can be exclusively invested in the upstream business. And (inaudible) to mention, I think I'm comfortable with conveying here is timing, which I would measure in low number of months.
Operator: And our next question comes from the line of Colin Rusch of Oppenheimer. Your line is open.
Colin Rusch: So as you look at the energy storage and the services opportunity there, can you talk a little bit about the supply chain's preparedness to help support you guys in terms of that growth? And then how do you think about some of these services in terms of the pricing dynamics? Certainly, what we've seen in terms of fast responding energy storage? And the Mid-Atlantic has been a lesson in terms of not getting too far ahead of ourselves. So just want to get some perspective on that from you guys.
Thomas Werner: Okay. So Colin, can you repeat the first part of the question? The second part . . .
Colin Rusch: The second part is on energy storage pricing in the open market bidding. And the first part is about supply chain's preparedness to support your growth there.
Thomas Werner: Thank you. Okay. So I'll say a few words, and Nam Nguyen, who runs the commercial business, may add a few comments. So in terms of supply chain, the good news is, we've been in the storage market now in production for over a year, year and a half. In the commercial business, we've diversified sources. It would be fair to say that supply and demand isn't always in alignment. And generally speaking, demand is greater than supply. There's also been suppliers that are modulating how aggressive they are in terms of their supply. We've been able to diversify supply in commercial, and we're fine. The work that we've done there is benefiting how we approached Equinox storage for residential. And sourcing for battery, we think is going to be fine for us when we release that product in the back half of this year. Then I'll comment on services. For us, when you monetize the services, for sure the customer, the old management is much more revenue generation than grid services than the market pricing for capacity or fast response, as you indicated. So our focus is on demand charge elimination which has way more significant economics. In terms of grid services, though, mentioned in our prepared comments, we're a year into it. We won a New England ISO capacity bid a year ago. It was not that large, but it gave us experience. We're bidding more significantly as I speak or approximately in this time frame. So that doesn't really materially -- I'm going to give you a broad answer. Doesn't really start to materially affect our P&L as we model it. It takes a couple years before you're going to see that really move the needle in our P&L, 2 or 3 years. Do you want to add anything, Nam?
Nam Nguyen: Yes. Just to add another comment, Tom, to your comment around the supply situation. While there is constraint on the battery supply side, we actually feel pretty comfortable with our position. We have a number of strong suppliers. And I think it speaks to the strength of our pipeline as well as our deployment numbers and our partners being able to count on us for that pipeline and deployment. The certainty of deployment is very, very critical. On the storage services side, to date, we've mostly deployed applications around demand charge savings as well as energy [arbitrage]. And the key markets that we've seen those types of economics to work for us are California as well as a few of the east coast markets, including New York, Massachusetts and New Jersey. So those are the big markets right now for C&I storage.
Colin Rusch: Great. That's helpful. And then just following up on Julien's question around the Enphase position. So today it's exiting the market at about $182 million of value. Can you just walk us through the logic of hanging on to that position when we're having so many discussions around cash about the operating business?
Thomas Werner: Well, there's actually a form filed that shows prior to today we have sold 1 million shares out of 7.5 million. So that's 13%, and, thus, the answer to the previous question of 85%. And there's contractual reasons in terms of the way we originally got that investment, that affect on how we would monetize that position. Also, frankly, we have a really good partnership with Enphase, and it's quite effective. And I think holding the 85% gives you some impression of what we think of the partnership. So it's a combination of the contract and the partnership.
Operator: And our next question comes from the line of Pavel Molchanov of Raymond James.
Pavel Molchanov: In the cash flow statement for the June quarter, there was a $9 million payment to SolarWorld. Is that the entirety of what you paid to acquire the Oregon facility?
Thomas Werner: The answer's no. We had an upfront payment back in the fall, and then this is part of that. I think that upfront payment, I don't remember exactly, but it was mid-20.
Manavendra Sial: That's right, Tom.
Pavel Molchanov: Okay. Can I also ask about the prospect of ITC extension? Some bills introduced in both the House and Senate for a 5-year extension. Obviously, the pre-buying in advance of 2020 would suggest the industry doesn't really believe it. I'm curious if you're expecting this thing to get settled before, let's say the 2020 election.
Thomas Werner: So our opinion is based on, in my case, several rounds with ITC, and the last one, of course, was the, I believe it was 5-year extension. And that was very late in the process and it was a late part of the agreement that was reached on the Tax Extenders Bill, as I remember it. And I would estimate that that would be what would happen here as well. So in my opinion, given that experience, November or December would be when we would know. That does affect how much we safe harbor, because, of course, the more we safe harbor, if it were extended in December, we'll have that extra material with no economic gain at that point. So we are preplanning for that. I think that's one of the benefits, of course, of being vertically integrated, is we can adjust rapidly. So on those two bills, we're not optimistic. We wouldn't think that it's going to happen -- I think this is just early signs in positioning for the potential for that. And I believe the whole reason for this is that most people voting believe in climate change, and this is a bipartisan way that's worked in the past to extend renewables. So it went from 0% at the beginning of the year to maybe 30% now, and we'll see as the year develops. That's how we think of it.
Pavel Molchanov: Okay. Appreciate it.
Thomas Werner: Great. Thanks, Pavel. That's all the questions we're going to take today. We really appreciate everybody's time, and we look forward to our next earnings call with you.
Operator: ladies and gentlemen, thank you for your participation in today's conference. this does conclude the program. you may now disconnect. everyone have a great day.+